Operator: Hello, everyone, and welcome to SSR Mining's Second Quarter 2025 Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Alex Hunchak from SSR Mining. Please go ahead.
Alex Hunchak: Thank you, operator, and hello, everyone. Thank you for joining today's conference call to discuss SSR Mining's second quarter financial results. Our consolidated financial statements have been presented in accordance with U.S. GAAP. These financial statements have been filed on EDGAR and SEDAR, and they are also available on our website. There is an online webcast accompanying this call, and you will find the information to access the webcast in this afternoon's news release and on our corporate website. Please note that all figures discussed during the call are in U.S. dollars unless otherwise indicated. Today's discussion will include forward-looking statements, so please read the disclosures in the relevant documents. Additionally, we will refer to non-GAAP financial measures during our discussion and in the accompanying slides. Please see our press release for information about the comparable GAAP measures. Rod Antal, Executive Chairman, will be joined by Michael Sparks, Chief Financial Officer; and Bill MacNevin, EVP, Operations and Sustainability on today's call. I will now turn the line over to Rod.
Rodney P. Antal: Great. Thank you, Alex, and good afternoon to you all. It is pleasing to report a really good quarter that progressed largely to plan. Despite the temporary suspension at Seabee due to the forest fire, we had a very strong quarter that generated both good operating results and significant free cash flow. We continue to work constructively with the relevant authorities in Turkiye to advance the restart of the Çöpler mine, including progressing the various engineering plans and design documents. This includes the closure plans for the heap leach pad and the issued preconstruction documents for the East storage facility. While this is another step forward, we cannot yet provide a definitive time line for a restart. Another key milestone was achieved at Puna in the quarter. We have developed a plan that will extend the mine life at Chinchillas by an initial 3-year period through to 2028. Further, we will continue to evaluate other opportunities, including advancing the studies at Cortaderas. Other notable highlights in quarter 2 include we had consolidated free cash flow generation of nearly $100 million, reiterating the strength of our Americas platform. We had a strong first full quarter from Cripple Creek and Victor, which itself generated excellent free cash flow, delivering on one of the main strategic rationales of the acquisition. And lastly, we continue to advance the Hod Maden project towards a construction decision, including $29 million in capital expenditure year-to-date. As we move into the second half of the year, we have a number of meaningful catalysts remaining on the horizon. These include the release of a technical report and life of mine plan for Cripple Creek and Victor initially based on existing mineral reserves and of course, the advancement of the Hod Maden project towards a construction decision. Across the portfolio, we'll continue to evaluate further organic growth initiatives at Buffalo Valley and New Millennium at Marigold, the [ Porkish ] Target at Seabee and the Cortaderas target at Puna. And of course, the top priority is continuing to advance Çöpler to a restart. As you can see, we've already delivered on a number of our key priorities and demonstrated strong operating performance in the first half. This is particularly pleasing when you overlay the heavy lift of resources required for the very successful integration of Cripple Creek and Victor. And now I'm going to turn the call over to Michael to take you through the quarter 2 financials, starting on Slide #4.
Michael J. Sparks: Thank you, Rod, and good afternoon, everyone. As noted, the second quarter of 2025 was another strong operational period. Production in the quarter was 120,000 gold equivalent ounces, a better than 15% improvement over Q1 as we benefited from the full first quarter of production from CC&V. All-in sustaining costs in the second quarter were $2,068 per ounce or $1,858 per ounce, excluding care and maintenance costs incurred at Çöpler. These results drove operating cash flow of $158 million (sic) [ $157.8 million ] and free cash flow of $98 million (sic) [ $98.4 million ] during the quarter. We spent approximately $16 million advancing Hod Madden in the second quarter as we progress engineering and initial site development activities. This brings year-to-date spend at the project to $29 million as we advance towards a construction decision for what remains one of the most attractive, underdeveloped copper gold projects in the sector. We also announced an initial extension to the Puna mine life, which Bill will speak to later in the call. Moving on to our financial results on Slide 5. We recorded attributable net income of $0.42 per diluted share in the second quarter and adjusted net income of $0.51 per diluted share. Both figures include approximately $37 million in care and maintenance costs at Çöpler during the quarter as these costs are not adjusted for under SEC rules. Adjusted net income removed the impact of the additional reclamation and remediation costs at Çöpler, which I will speak to shortly, as well as the $44 million in insurance proceeds received during the quarter. As previously noted, second quarter free cash flow of $98 million was an excellent result. This strong free cash flow generation maintains our total liquidity position of over $900 million. We remain in a very strong position financially and are well positioned to manage all capital requirements across the business going forward, including the remaining remediation and reclamation costs at Çöpler. Let's now turn to Page 6 for an update on these efforts. Following the Çöpler incident, the company estimated future reclamation and remediation costs of $250 million to $300 million related to the Çöpler incident. In Q1 2024, the company accrued the low end of this estimated cost range, recording $250 million in reclamation and remediation costs in addition to the $22.5 million that had already been incurred during the first quarter of 2024. In the second quarter of 2025, we recorded a $62.9 million revision to the initial reclamation and remediation costs, resulting in a $12.9 million increase to the initial estimate. The revision in estimate reflects the company's advancement of the engineering and construction design of the E Storage facility as well as the advancement of the studies for the permanent closure of the heap leach pad. This approximately 4% increase in reclamation and remediation costs reflects the improved fidelity in our engineering and construction designs and is not unlike the refinement in capital costs we are used to seeing as projects advance from PEA level scoping studies towards executable project plans. As I mentioned previously, the engineering plans and related studies for the permanent closure of the heap leach pad continue to advance. As part of the heap leach pad closure planning, the company will conduct further field investigations and we will use the findings to refine and update the closure plan for the heap leach pad. Now over to Bill for an update on the operations, starting on Slide 8.
William MacNevin: Thanks, Michael. It was another solid quarter for our operations, starting with Marigold. Marigold produced 36,000 ounces in the second quarter at an AISC of $1,977 per ounce as costs trended higher over the first quarter as expected. For the full year, we continue to expect a second half weighted production profile with Q4 planned to represent the strongest quarter of production for the year. We continue to be impacted by higher royalty costs at Marigold, given the strength of the gold price through 2025, but overall, remain on track for our full year targets. With respect to exploration and growth, we are continuing to advance engineering and study work at Buffalo Valley and New Millennium, 2 key avenues for future mineral reserve conversion and mine life extension. Feasibility study level work has commenced at Buffalo Valley, including infill drilling and initial engineering. We look forward to providing further updates on these initiatives as they progress. Now on to CC&V on Slide 9. CC&V delivered an excellent Q2 with production and costs benefiting from better-than-expected solution grades coming off the pad. Second quarter production was 44,000 ounces of gold at an AISC of $1,339 per ounce. These strong results helped drive significant free cash flow in the quarter. Since acquisition at the end of February, CC&V has now generated nearly $85 million in free cash flow, effectively paying back our initial upfront purchase in just 4 months. While we expect production and costs to normalize over the remainder of the year, CC&V is off to an excellent start, establishing itself as a core piece of our Americas platform going forward. We are continuing to advance an initial technical report for CC&V. We expect this document will represent a first step in our longer-term plans to delineate meaningful growth and upside for the asset in the future. Now on to Seabee. Seabee's quarter was heavily impacted by the power interruption caused by forest fires in Saskatchewan. Firstly, I want to take a brief moment to acknowledge the impact these fires had on our staff and their communities across Northern Saskatchewan and Manitoba. This was a particularly damaging fire season across the region. And while the impact to our operations was thankfully limited to power interruptions, our thoughts are with all those whose livelihoods were impacted. Owing to the downtime and scope subsequent ramp-up back to operations, Seabee produced 11,000 ounces of gold at an AISC of $2,708 per ounce. Costs were particularly high in the quarter as we kept our full complement of staff on site to be ready for the restart of operations as soon as was practical. For the remainder of the year, grades will remain at or near reserve grade and production is expected to trend towards the lower end of full year guidance. With respect to growth and exploration, we are continuing to advance drilling campaigns at both Santoy and the Porky Tragets as we evaluate potential opportunities to extend the mine life at Seabee. This work has continued delivering promising results, and we look forward to providing further updates with our year-end reserves and resources. On to Puna on Slide 11. Puna produced 2.8 million ounces of silver in the second quarter at an AISC of $12.57 per ounce, another excellent result. While Puna has had an exceptional year so far, it's worth noting that the year-to-date gold to silver ratio has been higher than our forecast, unfortunately, diminishing some of the positive impacts from Puna's strong first half on gold equivalent ounces. Positively, our continued efforts on exploration and development at Puna have provided an initial 3-year extension of operations at Chinchillas. We're continuing to advance opportunities to build on this progress and are also continuing work to evaluate the opportunity at Cortaderas as a pathway for longer-term growth. Puna remains an exceptional contributor to our portfolio, and we are keen to see its continued production and growth for many years to come. On to Slide 12. At Hod Maden, we spent approximately $16 million on the initial site assessment efforts and technical report in the quarter. While infill drilling also continues at site with the aim of derisking the early years of the mine. Year-to-date spend at the project is now $29 million, and we continue to advance towards a full investment decision. Overall, it was a solid quarter across the business, and we're looking forward to continuing to deliver in the second half. Now I'll turn back to Rod for closing remarks.
Rodney P. Antal: Great. Thanks, Michael, and thank you, Bill. With the first half now behind us, we remain in a good position to meet our full year targets and are poised to continue to generate free cash flow through the second half. We still have a number of meaningful catalysts over the remainder of the year across the portfolio that should lead to value delivery for our shareholders. This obviously includes Turkiye, where we remain firmly committed to advancing to a restart at Çöpler. With a strong balance sheet underpinning the portfolio and solid operating performance over the year-to-date, we are in excellent shape as a business, and it is our priority to continue to build on this strength over the remainder of the year. So with that, I'm going to turn the call over to the operator for any questions you may have.
Operator: [Operator Instructions] First question comes from Ovais Habib with Scotiabank.
Ovais Habib: Many congrats on the Q2 beat and really great to see the successful integration taking place at CC&V. Rod, just a couple of questions from me. Starting off with CC&V. Based on what CC&V has already produced so far, and the outperformance we saw in Q2. I mean is there a chance for CC&V to beat guidance? I mean any thoughts and color you can provide on how you see the second half?
Rodney P. Antal: Yes. I appreciate the congratulations, Ovais. It is pleasing. I mean the guys have done a terrific job across the business already this year. But look, on -- specifically on your question, things have gone really well down there. The plan that we put together for the year is as expected with the higher production in the second quarter, the first full quarter that we've owned it. And it really is just as a result of the higher grade that was stacked on the heap leach during the last part of last year and the early part of this year and those residual grades being produced. So at this stage, Ovais, it's tracking to plan. And as we look forward to the second half with our stacking plans and all going up on the pad, we're still comfortable with the guidance at this stage.
Ovais Habib: And then just maybe a little bit more color on this technical review that you guys are going to be coming out with on CC&V. Obviously, this is going to be based on the updated reserves that Newmont had published before the closing of the transaction. I mean, is there a possibility over here to significantly improve the mine life? Do you think you can pull forward some of that production? Any thoughts, color on that, Rod, would be appreciated as well.
Rodney P. Antal: Yes. Look, I think the purpose of the update really was just to ensure that the most recent information for Cripple Creek and Victor was actually in the public domain. As you know, you might haven't published a tech report on it for many, many, many years. So we've basically just picked up what we know using all the information available to us based on the current reserve base. And that's the starting point for the -- and the purpose actually of the tech report itself. So we'll conclude all of that work and publish it. Your question around future growth and future growth opportunities, clearly, we see that. We saw that through the due diligence and now having ownership for the best part of 4 months. We continue to evaluate it. But it's still pretty early, Ovais, for us to get our arms around it. We've got other priorities right now around getting Amendment 14 approved, which is important to underpin the reserves, as I stated by Newmont, that's really clearly our first objective. And then as we look further field and into the future, many of the opportunities will take some time to study properly and then obviously bring that to market once our understanding is more mature. So really just -- it's really just a placeholder at the moment to get the information out there. So we're all working off the same information. So you can see the production profile importantly and the cost profile importantly, and then we'll go from there in the future. But look, it's off to a really good start for sure. I couldn't be more pleased or more impressed with the team down there.
Ovais Habib: Excellent. And just quickly moving on to Copler. I just wanted to see where things are at in terms of kind of discussions with the regulators. I'm just trying to figure out if the regulators have just given you a task list or agenda and any sort of permit to restart only comes once those tasks are completed? Or is there any sort of fast tracking that could happen as well on the restart?
Rodney P. Antal: Yes. Look, I think we've sort of made most of the disclosure within the quarter. But I would say that the last quarter, in particular, quarter 2 was very good in terms of the progress that we did make. A number of the open items we had been working on with the various stakeholders around the plans for the construction of the East storage facility, which will hold some of the heap leach material, the remnant heap leach material as well as the closure planning for the actual heap leach really made a lot of progress all the way through to us, as we mentioned on the call, being able to issue the construction, the East storage facility. So that was a significant positive outcome for the work over the last quarter. And as you can imagine, Ovais, as I've talked about early on, the work in this is important to work with the various government officials, stakeholders, professors from various universities to ensure we get it right in accordance with the Turkish law, but also a number of the interested parties. So that's been a good quarter for us actually in a lot of ways to get a lot of the open issues resolved. So that's favorable. And then as we look forward, there isn't a sort of set of things that we have to do per se, Ovais, you must do this before you do that. Clearly, we want to make sure that everything is in place before we seek approval for a restart but we're not quite there in a few regards, but we're obviously plugging along and making good progress. So I was really pleased with the quarter, actually.
Ovais Habib: Congrats on a great quarter.
Operator: The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: Rod, certainly, investors are interested in the Çöpler restart and your disclosure covers a lot. In the disclosure, you mentioned that you're not sure what the time frame is that a restart might occur. But do you know what the time frame may not be? In other words, do you know for certain that it won't be, say, within 1 month or 3 months, but it would be longer than that?
Rodney P. Antal: Yes. If you're trying to trick me in a different way, negative way to answer a question, Don, I appreciate it. But look, I think what we've said publicly is what we're going to say publicly. There isn't a definitive time line as sort of I was just explaining to Ovais. I think the important thing for us is to continue to make progress, and we are, which is important and continue to evolve it into a point where we'll be seeking the approval for a restart. So I'm not going to put out their timetables in this regard to put unnecessary pressure on anyone. It's not the valid point here. I think we're -- like we've said, we're committed to Turkiye. We see tremendous value for the country in both the Çöpler asset and also in the Hod Maden project. And I think our commitment around Hod Madden and the progress that we're making there, leading up to the sort of for investment decision with our Board at the right time really does, I think, support our commitment to country. So -- and obviously, our progress in terms of getting a restart. So I think we're in good shape as we move forward. But look, I'm not going to put out there a timetable at this stage.
Don DeMarco: Okay. Well, we'll keep looking for updates on that. Could you remind me what the permitting status is at Çöpler? What level of throughput, for example, is currently permitted? And upon a restart in the event that it occurs, what is the process to update the permitting?
Rodney P. Antal: Yes. So if you remember, we disclosed probably, I don't know, it feels like a long time ago, probably 12 months ago that we would have to revert to the 2014 EIA, which is around 6,000 tonnes per day -- sorry, 6,000 tonnes per day on a throughput rate. And that will be our starting point once we get a restart. And then we'll then be seeking a refresh to the EIA to account -- for everything we have to account for in terms of the site to be let's just get things started. So we revert to 60,000 tonnes per day.
Don DeMarco: Good luck with the rest of the quarter.
Operator: This concludes the question-and-answer session and today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.